Operator: Good day, and welcome to the Aehr Test Systems’ Third Quarter Fiscal 2016 Financial Results Call. Today’s Conference is being recorded. At this time, I would like to turn the conference over to Jim Byers of the MKR Group. Please go ahead, sir.
Jim Byers: Thank you, Operator. Good afternoon and thank you for joining us today to discuss Aehr Test Systems’ third quarter fiscal 2016 financial results. By now you should have all received a copy of today’s press release. If not, you may call the office of MKR Group, Investor Relations for Aehr Test, at 323-468-2300 and we will get one out to you right away. With us today from Aehr Test Systems are Gayn Erickson, President and Chief Executive Officer; Ken Spink, Chief Financial Officer. Management will review the Company’s operating performance for the quarter before opening the call to your questions. Before turning the call over to management, I would like to make a few comments about forward-looking statements. We will be making forward-looking statements today that are based on current information and estimates and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. Factors that may cause results to differ materially from those in the forward-looking statements are discussed in our most recent periodic and current reports filed with the SEC. These forward-looking statements, include guidance provided during today’s call are only valid as of this date and Aehr Test Systems undertakes no obligation to update the forward-looking statements. That said, I would like to introduce Gayn Erickson, Chief Executive Officer.
Gayn Erickson: Thank you, Jim, and good afternoon to those joining us on the conference call and also listening in online. Ken will go over the third quarter financial results later, but first I’ll spend a few minutes discussing our business and product highlights, including our continued progress with the development and introduction of our new FOX-P platform of our next-generation of wafer level test and burn-in products. After that, we will open up the lines for your questions. As we noted last quarter, our shortfall of burn-in system orders coupled with the delay in the FOX-1P system shipments continues to negatively impact our short-term financials. However, we continue to make significant progress on the rollout of our next-generation FOX-P platform of wafer level test and burn-in products which included achieving key milestones. We’re excited today to report that the lead customer for our next-generation FOX-1P single wafer test system has approved and accepted the final test system milestone prior to shipment. This milestone was part of an eight milestone development agreement for this initial customer, and is related to a larger production system order already received from them. We’re very pleased with the functionality and performance of the FOX-1P system and are now working with the customer on final test and check out of their wafer prober and full wafer probe card. These tests are expected to be completed within the next several weeks prior to shipping the initial FOX-1P system to the customer. Aehr Test has already built up the multiple systems in backlog for this customer and we expect to ship these systems to the customer’s production site immediately upon final onsite acceptance of this initial system. As we announced last month, during that quarter we delivered our first FOX-XP wafer level test and burn-in system and received acceptance from our lead customer for that system and several FOX-XP WaferPak contactors. The FOX-XP system is currently successfully testing multiple different devices at the wafer level for this customer’s device qualifications. We’ve received very positive feedback from our customer’s engineering and management teams on the FOX-XP including comments that our system is performing very well and it’s significantly greater capability and usefulness than anything else on the market for this application. With our high quality focus and the need for reliability testing at the wafer level for their sensors, this customer is an ideal lead customer for the FOX-XP product line. While the first system is configured for a single wafer for device qualifications, the FOX-XP system is scalable for up to 25 or more wafers in parallel in a single test cell. As we’ve stated before, we believe the success of the engineering test this customer is running on this initial FOX-XP system will lead to volume production orders for them to meet their capacity needs. We continue to believe that this customer will need a significant number of FOX-XP wafer level test cells to meet their device volume shipments beginning in the fourth quarter of this calendar year with the ramp continuing through calendar years 2017 and 2018. It's important to point out that the typical selling price for a production FOX-XP test cell ranges from $4 million to $7 million apiece. We are very optimistic about the opportunities in the sensor space from other customers as well for this FOX-XP system. In addition and we've mentioned this last -- the last call just in January, negotiations are progressing with our second lead customer for the FOX-XP system, and we believe that they will place an initial order within the current quarter for their first FOX-XP production test cell. This test cell is expected to include one or more FOX-XP multi-wafer test systems, a FOX WaferPak Aligner, and an initial set of FOX-XP WaferPak contactors. This second FOX-XP customer is forecasting device capacity growth that will drive the need for additional production burn-in capacity for multiple years into the future. We're working with our supply chain to ensure that we can ramp to meet the significant potential system demand from these customers. There's a considerable amount of work going on to ensure we have sufficient capacity of chambers, test system electronics, WaferPak Aligners, WaferPak contactors et cetera, to be able to deliver large quantities. The market for our packaged part burn-in systems continues to be soft though, but we do have the ability to turn and ship orders quickly. This shows up in our high inventory levels that Ken will discuss in more detail later. As the FOX-1P and XP products enter the market, we expect both our revenue and our bottom-line to increase substantially over the next year due to higher ASPs and margins for those products. Earlier this month we showcased our solutions at the annual Burn-in and Test Strategies or BiTS Workshop in Arizona and we're very excited to see great engagement by the customers around the reliability challenges of sensors, optical devices and mobile platforms. This event which was very well attended, I was actually there and met with a number of customers, it was busier and more upbeat than we've seen in recent years, clearly showing an increased awareness of high quality and reliability requirements for mobile devices and high-end consumer products, which is becoming pervasive and is the big topic at these trade shows. With the key FOX-1P milestone completed and the lead customer sign-off of the FOX-XP system, we are very confident in the design and performance of the core FOX-P family of test system electronics and software. We have now completed and proven multiple FOX-XP WaferPak designs and applications test programs for devices including flash memories, sensors, and optical and communication devices, as well as completed and shipped our new high-performance FOX WaferPak Aligner. These are key pieces of our new FOX-P platform, which we expect to drive significant revenue growth for Aehr Test in the coming fiscal year and for years to come. In addition, our ability now to demonstrate our automated wafer level test cells for both our FOX-1P and FOX-XP test systems here at our factory is a tremendous advantage that bodes well for our ability to gain additional new test cell customers and production orders in the near future. With that I'll turn the call over to Ken.
Ken Spink: Thank you, Gayn. We started the year with 11.3 million in revenues for the first six months of fiscal 2016 compared to 10 million in revenues in all of fiscal 2015. However, as discussed in the last call in January the Company's near-term results are being impacted by the shortfall of packaged part burn-in systems orders and revenues, as well as delays in the FOX-1P's shipments. As we reported in today's press release, net sales in the third quarter were $1.7 million compared to 4.6 million in the preceding quarter and 2 million in the third quarter of the previous year. Third quarter net sales included revenue from the single wafer configuration of the FOX-XP wafer level burn-in and test system, WaferPak contactors and NRE. Non-GAAP net loss for the third quarter was 2.8 million or $0.21 per diluted share compared to a non-GAAP net loss of $794,000 or $0.06 per diluted share in the preceding quarter and a non-GAAP net loss of 1.5 million or $0.12 per diluted share in the third quarter of the previous year. The non-GAAP results exclude the impact of stock-based compensation expense. On a GAAP basis, net loss for the third quarter was $3 million or $0.23 per diluted share, this compares to a GAAP net loss of $1 million or $0.08 per diluted share in the preceding quarter and a GAAP net loss of 1.7 million or $0.14 per diluted share in the third quarter of the previous year. Non-GAAP and GAAP net losses includes $637,000 of one-time write-downs of excess and obsolete material associated with prior generations of products that have become obsolete with the release of new products and a final write-down of engineering material for the FOX-P program. Gross profit in the third quarter was 169,000 or 10% of net sales. This compares to a gross profit of 1.7 million or 37% of net sales in the preceding quarter and a gross profit of $852,000 or 42% of net sales in the third quarter of the previous year. The decrease in gross margin reflects the impact of $432,000 and inventory reserves from obsolete FOX-1 system and WaferPak legacy materials, as well as excess ABTS materials unique to a specific customer. Gross margin was also impacted by an increase in labor and overhead costs due to higher unabsorbed overhead charge to cost of goods resulting from lower manufacturing and revenue levels in the quarter and the purchase of turnkey assemblies rather than using internal labor. Operating expenses in the third quarter were $3 million compared to 2.6 million in both the preceding quarter and the third quarter of the previous year. R&D expenses were 1.3 million for the quarter compared to 923,000 in the preceding quarter and 1 million in the prior year quarter. Both the sequential and year-over-year increases are primarily due to an increase of $300,000 in expensed R&D materials of which $205,000 was for final write-downs of engineering materials for the FOX-P program. As stated previously, R&D spending could fluctuate from quarter-to-quarter depending upon development of our new products. SG&A was 1.7 million, flat to the preceding quarter and up $100,000 from 1.6 million in the third quarter of the prior year. Turning to the balance sheet and changes during the third quarter, our cash and cash equivalents were 2.5 million at February 29, 2016, up from $2 million at the end of the preceding quarter. The increase in cash was primarily due to the $2 million draw on the line of credit in January and an increase in customer deposits and prepayments, partially offset by the loss for the quarter. Accounts receivable at quarter-end was 1.9 million, compared to 2.5 million at the preceding quarter-end. Inventories at February 29th were 7.4 million, flat compared to the preceding quarter. Our quarter-end inventory includes material for the multiple FOX-1P systems and backlog, a FOX-1P system being built for capital and several packaged part systems which can be shipped quickly and turned into cash. Property and equipment was 1.3 million, an increase of 700,000 from the prior quarter. The increase includes an addition of an automated FOX-XP WaferPak handler and FOX WaferPak Aligner which are part of our multi-chamber FOX-XP test cells. This was part of our capital and infrastructure improvement plan to showcase our products and enhance our manufacturing and preparation for increased demand. We are also happy to report that we've successfully implemented our new ERP system with a go-live date of March 1st. Along with all of the development activities in getting the new products out, we have made the investment in time and resources to put a new ERP system in place prior to the anticipated ramp of our new FOX-P family of products. The Company expects to obtain processing efficiencies and improved business intelligence to evaluate opportunities and increase profitability. We're seeing overlapping investments in our FOX-1P and FOX-XP family of products in both our development and sales activities, which has resulted in maintaining our level of spending to bring these products to market. We will continue to look aggressively at ways to lower expenses in an appropriate way to maintain the health, as well as growth prospects of the Company. This includes a tight management of our cash position. We believe that we have the ability to manage our cash in the near-term with the following. Our accounts receivable, our existing backlog of products for which we already have the inventory, and inventory on hand for fast churns in both in our packaged parts and wafer level products and deposits and down payments against significant orders. With down payments again FOX-1P and FOX-XP test cell orders, we believe that we can finance significant customer ramps. In addition, as we have stated in the past, we believe that we have access to extended lines of credit against customer orders in addition to our current line of credit if needed. This concludes our prepared remarks. We are ready to take your questions. Operator, please go ahead.
Operator: Thank you. [Operator Instructions] We will now take the first question from the line of Geoffrey Scott from Scott Asset Management. Please go ahead.
Geoffrey Scott: The $2 million draw on the line, is it your intention to repay that after 90 days or convert that into a convertible note?
Ken Spink: The objective is to repay the line; we have 90 days from the date of draw, which would be pretty much the middle of April to repay that or roll it over. So our objective is to repay it and we also have backlog in-hand to be able to also re-borrow against that line if needed.
Geoffrey Scott: Okay. On June 25th of last year there was a press release that said Aehr Test Systems announced its 1.7 million follow-on order for ABTS to be delivered during the next six months. Have those units not been delivered?
Gayn Erickson: No, they were delivered. They were delivered in our Q2.
Geoffrey Scott: They were delivered in Q2, okay.
Gayn Erickson: Yes.
Geoffrey Scott: The system that, the XP system that was delivered you recognized revenue on that, correct?
Gayn Erickson: Yes.
Geoffrey Scott: How much was that?
Gayn Erickson: Yes, I …
Geoffrey Scott: I think everybody is looking for more.
Gayn Erickson: Yes, I mean this system is a single wafer system; it's a fully functional system capable of both thermal profiling and all the electronics. And that initial order including a few WaferPacs was about 750,000-800,000 or something. I’ve got 737 in my ear, but that ought to be close enough.
Geoffrey Scott: So, all-in for the entire system?
Gayn Erickson: For a single wafer system, in this case it was purchased without an automated aligner and it's not indicative of what we would see in a full production sell.
Geoffrey Scott: You had been charging them presumably recognizing revenue for running wafers on that system?
Gayn Erickson: We actually do -- as we noted in the original press release, we do have an arrangement with the customer for ongoing application services with them which included actually running some wafers here as well.
Geoffrey Scott: Was that a material revenue source or not?
Gayn Erickson: No, it was not. And in fact we believe there is a continued stream of that ongoing, but it's not material, no.
Geoffrey Scott: Okay, I’ll let somebody else in. Thanks.
Operator: [Operator Instructions] We’ll now take the next question from the line of Larry Chlebina with Chlebina Capital. Please go ahead.
Larry Chlebina: Hi. What is the maximum line of credit that you can draw on that thing?
Gayn Erickson: The maximum line was $2 million.
Larry Chlebina: Oh, so it was maxed out.…
Gayn Erickson: And it supported -- yes, it's maxed out. We have the opportunity again to repay and to re-borrow against the line, as long as it is supported by valid purchase orders.
Larry Chlebina: I see, and that’s only up to 2 million or can it go beyond 2 million?
Gayn Erickson: Yes, the current provision is, it's only 2 million. As we have talked about in the past similar to our lines of credit that we had prior to this one which is with QBT both Silicon Valley Bank and QBT have expressed willingness to increase our lines of credit as necessary to support our growth.
Larry Chlebina: So in other words that’s what I was getting at. If you get a rash of orders or POs, it's conceivable you could get some cash to perform on those from a bank with backing on the POs?
Gayn Erickson: That’s correct, that is correct.
Larry Chlebina: So, just so I understand this with the shipment of the 1P that -- is this really the big moment that we’ve been waiting for that the acceptance and ultimately follow-on orders of that customer, as well as others, or is there a…?
Gayn Erickson: So Larry I think what you are alluding to and for those listening in online, we’ve been quite frankly talking about getting this acceptance and getting this system out the door door for several quarters. And we talked in the past about some of the key changes that were made to the definition of the product as the customers’ requirements themselves changed, as well as some things that we did to ensure that the product had a broader range of applications. And so although it may seem maybe it isn’t as overwhelming as people think, but there was a lot of cheers around here as we got that acceptance. And actually when we were successfully testing devices, passing diagnostics and the performance of the machine is actually doing what we wanted to do, we’re at the final boards and terms and the software are in fact part of the subtlety of the write-down of the couple of hundred thousand dollars for the boards is -- we had some board rework that we had debated about whether we would ship it and we decided to scrap those boards to ensure that we had perfect new Rev1 boards for the customer and that is the same boards that would be used in other applications as well, as well as on the XP. So it's a big deal and you know what if you would have asked me at probably almost any quarter until now what I’ve gotten the sign-off on an XP before I’ve got to sign-off on the 1P I would have never thought it to be the case, but that’s exactly what happened.
Larry Chlebina: You talked in the past the opportunity on the flash memory market. Is any of that still in the works, or has that been put [Indiscernible].
Gayn Erickson: It is Larry, it's interesting we had been working diligently and as people have recalled we have successfully demonstrated full wafer contact and testing of a state of the art 300 millimetre wafer for flash memory. That deal – well, actually those customer discussions there has been more than one, actually cooled off during the fall timeline and have recently been kind of reinvigorated interestingly about the same time it was cooling off, we found ourselves very intensely engaged in the multi-wafer system and the FOX-15 we shipped last year to that new customer, as well as the opportunities for the couple of few new opportunities for the XP. So it is certainly have been a challenge here from a marketing and sales particular because we're seeing a lot of activity and you are kind of in the ebbs and flows with respect to the customers timing. The good news is is that the product itself in the definition of our XP and our 1P really has been kind of nailed down here for a while and by being able to actually show it here in the facility goes a long way. It's one of the challenges I think both for our shareholders and for our customers is this product is an exceptional idea it's leveraged from products that we have already shipped, but it enhances the capability substantially and the customers have -- there has been a fair amount of let me wait and see I'd like to see it first and understand that it's real. And being able to actually bring the customers in right now and show them wave forms and show them their device is being tested has been a pretty fantastic moment for us here. And so it's been a long time coming and we actually think that this will be a catalyst for sort of breaking through some of these customers to make the commitments to move forward and we believe that that is in fact going to happen here. Our first production order will actually come from our second XP customer. Then you see the first XP customer with production orders.
Larry Chlebina: Well I would be looking forward to it. That's all I had. Thanks a lot.
Operator: [Operator Instructions] It appears there are no further questions at this time. I'd like to turn the call back over to management for any additional or closing remarks.
Gayn Erickson: Okay. I appreciate it and I know there were some comments related to the timing of our earnings here, we typically have done at this time a year, so I think we cut a number of people that already started their holiday this weekend, I feel good for them. We’ll always make ourselves available here for follow-up calls if anyone would like, they can contact us. As we have talked about today, we certainly saw a very soft quarter financially. I mean with our ABTS customer push-outs and some that really impacted some forecasted orders and revenue, and the delays in the FOX-1P, we just need to acknowledge that this was not our stellar financial quarter. But the same time we really had a lot of positive progress between the XP and the 1P there is new XP customer deal that we really feel is eminent upon us and it's other activities surrounding wafer level burn-in with other customers that we haven’t started to really tee up and talk to people about. But we've even seen some signs just recently in the last couple of weeks around our packaged part burn-in, which is really encouraging. Obviously we’re really encouraged by the fact that we’re testing customer devices on both the FOX-1P and the XP, which gives us the confidence that we have to start shipping these products and turning all of this work we've had over the last several years and all the money that we have spent and invested and turn into revenue and bottom-lines. We certainly remain focused on these key new large deals, but we’re also working with our installed base and new ABTS customers to sell our systems that in many cases they forecasted and pushed out and we have significant amount of inventory on-hand to be able to help people with short lead times. So again we appreciate everyone's calls in this time and as always we invite you to come by and host you here if you’d like to come take a look at these exciting new products and if not, we’ll see you next quarter. Take care bye-bye.
Operator: Ladies and gentlemen, this concludes today’s call. Thank you for your participation. You may now disconnect.